Operator: Good day and welcome to Endava's Second Quarter of Fiscal Year 2023 Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Ms. Laurence Madsen, Head of Investor Relations at Endava plc. Please go ahead.
Laurence Madsen: Thank you. Good afternoon, everyone and welcome to Endava's second quarter of fiscal year 2023 conference call. As a reminder, this conference call is being recorded. Joining me today are John Cotterell, Endava's Chief Executive Officer; and Mark Thurston, Endava's Chief Financial Officer. Before we begin, a quick reminder to our listeners. Our remarks today include forward-looking statements, including our guidance for Q3 fiscal year 2023 and for the full fiscal year 2023 and other forward-looking statements regarding our business and operations. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements and reported results should not be considered as an indication of future performance. Please note that these forward-looking statements made during this conference call speak only as of today's date and the company undertakes no obligation to update them to reflect subsequent events or circumstances other than to the extent required by law. For more information, please refer to the Risk Factors section of our annual report filed with the Securities and Exchange Commission on October 31, 2022. Also, during the call, we'll present both IFRS and non-IFRS financial measures. A reconciliation of non-IFRS to IFRS measures is included in today's earnings press release which you can find on our Investor Relations website or on the SEC website. The link to the replay of this call will also be available on our website. With that, I'll turn the call over to John.
John Cotterell: Thank you, Laurence. I'd like to thank you all for joining us today and I hope you're all well. We are pleased to be here to provide an update on our business and financial performance for the 3 months ended December 31, 2022. We reported another solid quarter with revenue totaling £205.2 million for Q2 of our fiscal year 2023, representing a 30.2% year-on-year increase from £157.7 million in the same period in the prior year. We ended the quarter with an adjusted profit before tax for the period of £41.9 million, representing a 20.4% adjusted profit before tax margin. On the revenue front, we grew in all geographies and verticals year-on-year during the quarter. As usual, our revenue growth continues to be driven by both the expansion of work for our existing clients and the acquisition of new ones during the quarter. And more importantly, we continue to prioritize our efforts on larger relationships that can grow and scale. As a result, we continued growing the number of larger clients with a total of 156 clients paying us in excess of £1 million per year compared to £107 million in the same period last year, representing an impressive 46% year-on-year increase. We also saw the cohort of our largest clients, those spending over £5 million per year with us, grow by 48% from 21% in the same period last year to 31% last quarter. Starting in December, we saw a change in behavior as some clients added another level of due diligence to their decision-making cycles, slowing the commencement of new projects and in some cases, pausing existing spend as they reassess their priorities. These behaviors reduced activity towards the end of December. And although we are now seeing decisions being made and activity increasing again, the shortfalls reduced our expectations of growth for this fiscal year. In our evermore digital world, we are seeing continued strong demand for our more sophisticated design and ideation skills, such as digital product strategy, digital product design and user experience design as well as the more technical areas of user interface and mobile design, build and test. We've been asked to apply our skills to a range of digital applications, including client portals to simplify client interactions with complex organizations, B2B interfaces for digital commerce, in-transit customer experiences for the transportation industry and internal portals to make organizations more efficient and effective by improving their employee experience. We've been a long-term provider of cloud expertise with strong partnerships with all major providers. And the majority of our development and operational work utilizes the technology. We're increasingly seeing our clients moving on from cloud being about infrastructure towards cloud as a true enabler of next-generation capability. Well architected and implemented solutions allow for ephemeral [ph] and elastic nature of cloud to be used to allow our clients to only use and pay for what they need when they need it. Furthermore, new technology frameworks deployed within the cloud and accessible through a rich API landscape, allow our clients to rapidly adopt and integrate technology in a small amount of time. For example, it's inconceivable to imagine the complexity of adopting a technology such as GPT-3 which ChatGPT utilizes, for instance, within legacy compute environments. Together, new architectural patents and the ubiquity of cloud mean Endava is well placed to help our clients rapidly build, deploy and test products and create a flywheel for future growth for us and for our clients. Today, I'd like to highlight the depth and breadth of our client relationships in 2 of our largest regions, the U.K. and Continental Europe. Endava has its roots in the U.K. And over the years, our business in the U.K. has evolved and diversified. For example, we grew in the banking sector, where we are currently working with 3 large high street banks as they seek to navigate regulatory change and modernize their market-facing offerings with new cloud-based solutions. We helped a large U.K. bank to transform its payment of offering through the launch of an award-winning payments proposition. This cloud-native solution leverages the capabilities of open banking to provide next-generation offerings to retail and business customers. We also developed strong relationships in the insurance industry. For example, Endava is supporting Beazley Digital by building and supporting multiple distribution channels for broker quote submissions and we are developing new products for the U.S. portfolio on the Robot platform. Additionally, we are working to onboard product lines onto the Beazley underwriter workbench in order to aid efficiencies in responding to broker submissions and maximize intelligent underwriting capabilities. Our business in the U.K. also includes some of the largest corporates in TMT. Endava has helped Arm, a British semiconductor and software design company, leverage the use of cloud to test its chip designs at scale. This delivery has allowed Arm to reduce its on-prem resources, allow teams to meet their delivery deadlines and even increase testing and improved quality of the design. This project won the Editor's Choice Award in the best use of HPC in the cloud category in the HPCWire 2022 awards. We're also working with 2 major communications service providers, delivering on the operation support system and business support system suite modernization in the new era of open architecture, cloud-native, self-healing networks. With our recognized competence in technology strategy, architecture and analysis in the connectivity area and integrating alternative payment solutions, we are in a strong position to support telcos in their quest for better platform monetization and to remain relevant in the market beyond commodity traditional services. Our payments expertise has helped us to develop strong relationships with the leading payment service providers in Continental Europe. Additionally, as larger banks are reentering the payment business, it has led us to help them with architecture design and platform development work. In Germany, this has been especially important with the increased adoption of cashless payments in the post-pandemic world. We have been helping some of the largest payment service providers to automate and streamline their small and middle-sized enterprise onboarding processes. In 2019, we disrupted the market by launching an innovative fully digitized onboarding product with a market-leading payment provider which we believe quickly became the benchmark product for the payment industry. Additionally, for over a decade, we have been helping some leading European banks address their digital agenda, as the emergence of digital banking platforms has enabled them to decouple the client-facing user interface from their legacy core. Our expertise ranges from building customized digital banking solutions through to partnering with Backbase Digital Banking. We are currently implementing Backbase Digital Banking to 3 European banks. In Romania, our work with Bank of Transylvania, the largest bank in the country has helped to position them as one of the most innovative banks in the region. We built for them a market-leading mobile banking application as well as digitizing and automating their corporate lending process. In Switzerland, our clients include leading wealth managers and private banks. We are working with a private bank on a digital refresh of their client-facing portal as they look to address the generational shift of wealth to younger and more digitally savvy clients. Our working capital markets includes high volume, low latency trading platforms in Germany and asset servicing platforms across the DACH region which includes Germany, Austria and Switzerland as well as in Luxembourg. In Switzerland, this includes engineering for a market-leading commodity trader where we are working across most of the core operational functions, including risk, audit, finance, customer and master data. In the Nordic region, we are working with a technology provider on a data management solution with the goal of enabling capital markets operators to streamline the challenges associated with large volumes of data. In our TMT vertical, we are working with forward-thinking companies in Europe in innovation hubs in Germany and the Nordic countries. The AVIV Group, a subsidiary of Axel Springer is one of the world's largest digital real estate tech companies based in Germany. The AVIV Group partnered with Endava for an ambitious multiyear product and technology transformation journey, aiming to consolidate their existing brands spread across multiple countries onto a white label platform. The new platform will enable significant operational savings and will set AVIV on target for future geographical expansion, while providing a competitive advantage for its products portfolio. Endava is providing support in designing and building the new platform and has additional plans to support AVIV with their innovation projects using Endava's experience with cutting-edge technology to open new distribution channels and markets. Additionally, we've been selected by Vodafone Ireland to help them modernizing the new B2B Big Data platform for enterprise customers. We're very excited about our growing presence in the automotive sector in Europe. Our work with some of the largest car manufacturers in the DACH region is focusing on the digital opportunities, such as connected car, in-car payments and insurance as a service. In the Nordic region, Endava has been working with the Swedish electric car manufacturer Polestar, supporting them evolve and scale the architecture that powers Polestar's business model, including end user interaction. This is a global effort and we are delivering services with teams in Central Europe and Latin America. As our relationship expands, it will include work with manufacturing, supply chain and customer care divisions as well as work on their consumer mobile apps. We embraced Polestar's vision of an electric and sustainable future for the automotive industry. In Germany, Endava has been working closely with Deutsche Bahn to develop and operate a state-of-the-art video on-demand portal available on over 380 Intercity Express high-speed trains in Germany. With this portal, passengers can now access a wide variety of movies, documentaries and TV shows on their personal devices. The solution Endava built includes front-end development and integration within existing portals. On the back end, we built a streaming CMS and encoding system, as well as content sourcing and continuous operations, monitoring, analytics and customer support in collaboration with Deutsche Bahn. Endava continuously brings innovations to the platform to offer best-in-class entertainment to travelers. We are well placed to understand the changing dynamics in these markets and our strong name recognition in the U.K. and Europe positions us well for continued growth. The integration process for Lexicon in Australia is going smoothly and we are already seeing some growth with existing clients due to the increased breadth and depth of services that Endava brings to the platform. I remain excited about our growth prospects in the Asia Pacific region. We're delighted to share some highlights of our We Care Sustainability approach over the past quarter. We've been focusing on rolling out a number of diversity programs, working closely with our diversity and inclusion for it. We recently completed the second round of our Endava RISE mentoring program, where 27 mentees were paired with 23 mentors for a 6-month period, preparing our emerging women's stars for senior management and leadership roles. Also, as part of our partnership with The Valuable 500, a global business collective innovating for disability inclusion, we launched and successfully completed Endava Signs, a voluntary program offering our people basic level training in 4 sign languages. We're also delighted that in partnership with Planting Good Deeds and not-for-profit organization based in Romania, we joined the NYSE's Global Giving Campaign. We ended the quarter with 12,183 employees, a 17.2% increase from 10,391 in the same period last year. We continue to recruit very actively into the areas of strong demand and growth and to expand our sales and marketing teams. We are taking the opportunity of the less competitive talent market to recruit more senior and experienced people in readiness for client growth. In summary, based on our conversations, we believe clients continue to prioritize digital transformation in their IT budgets. We are already seeing a recovery in demand as clients clarify their focus and we believe the secular trends for our business remain strong. I'll now pass the call on to Mark, who will walk you through our financial results for the quarter and provide guidance for the coming quarter and the fiscal year.
Mark Thurston: Thanks, John. Endava's revenue totaled £205.2 million for the 3 months ended December 31, 2022, compared to £157.7 million in the same period in the prior year, a 30.2% increase over the same period in the prior year. In constant currency, our revenue growth rate was 23.4%. Profit before tax for Q2 fiscal year 2023 was £20.3 million compared to £19.1 million in the same period in the prior year. Our adjusted profit before tax for the 3 months ended December 31, 2022, was £41.9 million compared to £33.0 million for the same period in the prior year. Our adjusted profit before tax margin was 20.4% for the 3 months ended December 31, 2022, compared to 20.9% for the same period in the prior year. Adjusted profit before tax or adjusted PBT is defined as the company's profit before tax adjusted to exclude the impact of share-based compensation expense, amortization of acquired intangible assets, realized and unrealized foreign currency exchange gains and losses and fair value movement on contingent consideration, all of which are noncash items. Adjusted PBT margin is adjusted PBT as a percentage of total revenue. Our adjusted diluted earnings per share or EPS was £0.57 for the 3 months ended December 31, 2022, calculated on £58.0 million diluted shares as compared to £0.46 for the same period in the prior year calculated on £58.0 million diluted shares. Revenue from our 10 largest clients accounted for 31% of revenue for the 3 months ended December 31, 2022, compared to 34% for the same period last fiscal year. Additionally, the average spend per client from our 10 largest clients increased from £5.4 million to £6.5 million for the 3 months ended December 31, 2022, representing a 19% year-over-year increase. In the 3 months ended December 31, 2022, North America accounted for 33% of revenue compared to 35% in the same period last fiscal year. Europe accounted for 23% of revenue compared to 21% in the same period last fiscal year and the U.K. accounted for 39% of revenue compared to 41% in the same period last fiscal year, while the rest of world accounted for 5% compared to 3% in the same period last fiscal year. Revenue from North America grew 22.6% for the 3 months ended December 31, 2022, over the same quarter of fiscal year 2022. Comparing the same periods, revenue from Europe grew 42.9%. The U.K. grew 21.2% and the rest of world grew 163.6%. We grew in all 3 of our industry verticals during the quarter. Revenue from payments and financial services grew 35.4% for the 3 months ended December 31, 2022. Revenue from payments and financial services accounted for 53% of revenue compared to 51% in the same period last fiscal year. Revenue from TMT grew 13.3% for the 3 months ended December 31, 2022, over the same quarter of fiscal year 2022 and accounted for 22% of revenue compared to 25% in the same period in the prior year. Revenue from other grew 36.6% for the 3 months ended December 31, 2022, over the same quarter of fiscal year 2022 and now accounts for 25% of revenue compared to 24% in the same period in the prior year. We now turn to our adjusted free cash flow which is our net cash provided by operating activities plus grants received less net purchases of non-current tangible and intangible assets. Our adjusted free cash flow was £37 million for the 3 months ended December 31, 2022, compared to £31.2 million during the same period last fiscal year. Our cash and cash equivalents at the end of the period remained strong at £185.3 million at December 31, 2022, compared to £162.8 million at June 30, 2022. CapEx for the 3 months ended December 31, 2022, as a percentage of revenue was 2.0% compared to 2.4% in the same period last fiscal year. I'd also like to highlight that we recently announced the successful closing of a £350 million revolving credit facility. This credit facility is for general business purposes and replaces the existing £200 million unsecured revolving credit facility which was expiring on October 12, 2024. With this, I'll move to our outlook. Our guidance for Q3 fiscal year 2023 is as follows. Endava expects revenue to be in the range of £201 million to £203 million, representing constant currency revenue growth of between 14% and 15%. Endava expects adjusted diluted EPS to be in the range of £0.52 to £0.54 per share. Our guidance for full year fiscal year 2023 is as follows. Endava expects revenue will be in the range of £812 million to £817 million, representing constant currency growth of between 19.0% and 20.0%. Endava expects adjusted diluted EPS to be in the range of £2.20 to £2.25 per share [ph]. This above guidance for Q3 fiscal year 2023 and the full year fiscal 2023 assumes exchange rates at the end of January 2023, when the exchange rate was £1 to US$1.23 and €1.14. This guidance seeks to take into account the current macroeconomic headwinds highlighted by John in his comments. This concludes our prepared comments. Operator, we are now ready to open the line for Q&A.
Operator: [Operator Instructions] The first question comes from Bryan Bergin with Cowen.
Bryan Bergin: I wanted to just dig in around the client behavior and maybe, John, the commentary you had on the behavior in December and how that has since progressed into February. So curious if this is a delay or cancellations in some cases. And what supports the 4Q sequential growth outlook versus the 3Q sequential pullback?
John Cotterell: Sure. Thanks, Brian. So what happened in December was as clients were sorting their budgets out for the new financial year. We saw them take onboard an extra level of due diligence, quite a few of them. And that resulted in some projects not proceeding which we had expected to carry on existing ones that is. And there are new ones that were coming through just getting delayed in terms of when they were starting. As we've gone through January, we've seen some of those projects that were delayed being signed up and starting. And so we are ramping back up, if you like, from the drop that we saw at the end of December. It feels a little bit like COVID actually, when that sort of hesitation that happened just after COVID hit, there's some clients pausing and stopping but then the underlying secular growth drivers in our space coming back. And so we're seeing that pipeline that we've got coming through in January and February. And so that's what's led us to guide in the way that we have, i.e., picking up from the drop at the end of December with growth occurring through Q3 and on into Q4.
Bryan Bergin: And I know TMT was conveyed to be weeks before. Can you just give us a sense on how much this is spread to other verticals and maybe performance in your view by client region? I'm curious if this is confined to certain types of clients or it is prevalent across the portfolio?
Mark Thurston: Brian, it's -- when we called out TMT last time, it continues to be sort of flat almost from Q1 to Q2. There's no sequential growth. And particularly, we've seen that the deterioration in Northwest Coast tech and again, I think we will see TMT actually decline as we go from Q2 into Q3. Payments is also an area that we're seeing significant sort of downdraft, particularly U.K. and North America. But then we are, again, seeing that recovery come through in Q4. Geographically, we expect North America to decline quarter-on-quarter as we go into Q3, again, driven by West Coast tech payments. U.K. see a bit flat but we are seeing growth in Europe, sequential growth there and also rest of world which is particularly sort of Asia Pacific, first of all, see some good growth and then all GEOS swinging back basically in Q4.
Operator: The next question comes from James Faucette with Morgan Stanley.
Unidentified Analyst: It's Jonathan [ph] on for James. Can you provide an update on what you're seeing on the pricing side of the equation in the current environment? Like what's contemplated in your outlook from a pricing perspective? And how are you thinking about your ability to drive pricing going forward?
John Cotterell: Yes. Thanks, Brian. Sorry, James. Yes, we're continuing to see price increases come through with clients and quite a few of those have taken effect at the beginning of January. However, an element of caution in our guide has been that we've assume price increases are not coming through going forward, although we are still seeing that happen. So the main reduction has been volume-based rather than price pressure.
Unidentified Analyst: Got it. And can you let us know how utilization trended in the quarter? And last quarter, you mentioned a sequential step-up in the back half across utilization. Does that still hold true?
Mark Thurston: No, it doesn't. I mean given where we are with Q2, actually utilization moved up a bit, you remember previously, we were talking about building back the bench. But given the slowdown we're seeing in Q3, we have seen a buildup in bench, actually, the utilization isn't going to sort of pick up in Q3 which really explains the gross margin drop as implied in the guide that we're giving. But we do expect with the headcount increase being somewhat muted from what we've historically seen, the utilization will pick up in Q4.
Operator: The next question comes from Bryan Keane with Deutsche Bank.
Bryan Keane: I just wanted to ask about the payments vertical and a little bit of what you saw there. I think you mentioned a downdraft maybe this quarter but a recovery next. Can you just talk about the details there?
John Cotterell: Sure. So in payments, there's a bit of a shift going on in the market. I've mentioned this on previous calls and this is continuing which is a slowdown in activity in the sort of acquiring space, especially the larger acquirers and some of the new product players. But that's being offset by growth in the new payments products, things like the open banking based products, the real-time payments based products. E-commerce is still a growing area. And then merchant onboarding, we see quite a lot of activity. So, I would say that what's happened in this quarter is that some of that acquiring pullback has been accelerated slightly. We've also seen acceleration in the new product spaces but that hasn't quite offset the pullback on the acquiring side this quarter. But we continue to see demand growing. It's actually the bigger slice of our payments to state is in the new space.
Bryan Keane: And then on M&A, what does the pipeline look like for M&A? And any change in valuations yet given some of the market backdrop?
John Cotterell: Yes, we continue to talk to quite a few organizations about the M&A opportunities, still seeing a lot of organizations hitting the top of the pipeline. Most of them don't hit the sort of quality criteria that we are interested in, as in the culture, the growth rates and the positioning in the market that we have. So a lot of them we get -- we overall. I have to say at the moment, we're not seeing any drop in pricing -- and in fact, there have been 1 or 2 that we've been indication and conversations with where the prices have been higher than we've previously seen and we've not followed them up. So the pressure from a private company valuation point of view are not going away.
Bryan Keane: Yes; that's what we've heard from several others as well.
Operator: The next question comes from Moshe Katri with Wedbush Securities.
Moshe Katri: So is there anything specific from the Top 10 client list that's kind of impacting visibility and impacting the results more than others. And I think I believe about FIS is still a Top 10 customer. Maybe you can talk a bit about the kind of the dynamics of the relationship given the restructuring that they are going through at this point?
John Cotterell: So that's why that still remain a Top 10 client. I think when we were announcing last time they just put out their cost reduction news and they've put out some recent news within the last day or so. We continue to work with them and we focus on areas of where we've traditionally sort of work with them which is quite broad. We'll have to see how it pans out the demerger that they are planning for. But I suspect we won't see significant impact I think may ruin [ph] these words but I think we've taken the pain from the cost reduction exercise that they enacted with effect really from this quarter that were in Q3 and Q4. And I think the expectation is that, that demerger will take most of 2023 calendar '23 to go through [indiscernible] fully independent. But certainly, the spirit within the Worldpay part of FIS is that, that will enable to fix more on growth and should probably create more opportunity downstream for us.
Moshe Katri: Okay. And then in terms of the weakness in payments, are there specific -- I think you mentioned some areas where you're seeing some weakness but maybe provide some color where you are seeing growth. And obviously, some areas were probably weaker than others. And is there a volume related kind of in terms of how you generate your revenues, is that any way related or actually correlated with volume growth for some of your customers?
John Cotterell: So just quickly on your last point, no, all of our revenues are driven under time and materials type contracts with our clients their volumes, of course, affect the levels of investment that they want to make in their products and so on. So it can have an indirect effect. And that is partly what is causing the pullback on the acquiring side as payment types are starting to shift into the new product spaces. So we see most of our activity in those new spaces. It's all about helping the move to a fraction of its payments in all the different areas where people pay for things. E-commerce is a big area where we still see growth, merchant onboarding a lot of payments providers out there still have very laborious paper-driven onboarding processes and actually putting those online and making them much more effective tick-box except legals, etcetera, type activities can reduce the time it takes to onboard a new client from weeks to hours. And then the open banking and real-time payment rails that are opening up in many opportunities for different sorts of products closer aligned to wallets, etcetera, for consumers. So we're seeing that pick up. And actually, it's one of the areas that is driving growth around the world outside of Europe, U.K. and North America for us.
Operator: The next question comes from Maggie Nolan with William Blair.
Maggie Nolan: I think I heard you mention a less competitive talent market. Is that geography specific? Or is there any incremental information you can give on that? And then how has that impacted costs and wage inflation that you're seeing?
John Cotterell: Yes. So it's just one of the opportunities that we're seeing with the market just being a little bit less pressured in terms of recruitment of talent actually focused on picking up some of those more senior and more experienced people that are fundamental for us in driving growth. And as -- and it's pretty much universal across the world probably happened earlier in more developed nations but has cascaded into all of our actual delivery locations as well, the pressure in the market, competitive pressure in the market has lightened up a bit and cut off. So as I mentioned, we're recruiting senior people and laying attrition to just move the dial a little bit in terms of the seniority, it's an organization that we have. We went through the same process in the early stages as COVID pullback. And you know that positioned us well to then be able to expand as demand came back in.
Maggie Nolan: And then any other changes in the attrition metrics or maybe some more information on how things like the mentor program you mentioned are impacting those?
John Cotterell: So our attrition is staying in about the same place. We're at 12.5% last quarter. So 12.6% in the previous quarter, so very close to where we were before. And I think we'll keep it in around that space going forward. And that will keep us balanced as a business in terms of responding to the demand pickup that we've articulated.
Operator: [Operator Instructions] The next question comes from Jamie Friedman with Susquehanna.
Jamie Friedman: I know you're getting a lot of questions about payments but I just want to clarify, isn't it the TMT vertical that slowed more materially? And also, Mark, didn't I hear you say -- I think it was you speaking that it's contemplated to be flat sequential?
Mark Thurston: Yes. So TMT was flat sequentially for us, Q1 to Q2. I think as I said earlier, North America, West Coast tech biting stronger. We anticipate we will actually see a further sort of sequential decline going from Q2 to Q3. So it will come off further which, again, is mainly driven in North America West Coast tech but we don't see some uptick, a little bit moved compared with payments and financial services and other when we go into Q4, mainly driven by, we think, tech recovering basically and some activity in telco.
Jamie Friedman: Got it. I realize you don't typically guide vertically but would you have the same perspective on the cadence for payments and other for the remainder of the year?
Mark Thurston: I think we will see a marginal decline quarter-on-quarter, probably about 1 percentage point or so as we go from Q2 to Q3, largely geo-driven with U.K. and North America but then seeing a pickup actually in Q4, again, pretty muted by our standards but we will see, I think, the recovery coming through in North America and some mild recovery in the U.K.
Jamie Friedman: And how about other?
Mark Thurston: Other, I think it's -- for us, it's performing well. So 6% growth Q1, Q2, full geographies, I'd call out health has been particularly strong but most of the verticals are strong. A little bit of weakness in retail which we are seeing implying the guide as we go from Q2 into Q3. So I think it will still continue to grow but not at 6%, probably 3% but also, good momentum, a bit of a headwind in terms of retail, we think, as we go through but it's a little bit of the edges and then continued progress the ability for us, particularly how performing particularly well at the moment.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to John Cotterell, CEO, for any closing remarks.
John Cotterell: So, thanks all for joining us today. I think you can see that digital transformation remains a priority for our clients and secular trends for our business remain strong and we look forward to speaking to you in a few months at our next earnings call.
Operator: The conference has concluded. Thank you for attending today's presentation. You may now disconnect.